Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Quarter One 2020 Ingredion Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Tiffany Willis, Vice President of Investor Relations and Corporate Communications. Thank you. Please go ahead.
Tiffany Willis: Good morning and welcome to Ingredion’s first quarter 2020 earnings call. I’m Tiffany Willis, Vice President of Investor Relations and Corporate Communications Officer. And I’m happy to be with you today. With me today at safe social distances are Jim Zallie, our President and CEO; and Jim Gray, our Executive Vice President and Chief Financial Officer. Our results were issued this morning in a press release that can be found on our website, ingredion.com, in the Investors section. The slides accompanying this presentation can also be found on the website and were posted a few hours ago for your convenience. As a reminder, our comments within this presentation may contain forward-looking statements. These statements are subject to various risks and uncertainties. These statements include expectations and assumptions regarding the Company’s future operation and financial performance including the impact of the COVID-19 pandemic. Actual results could differ materially from those predicted in the forward-looking statements, and Ingredion assumes no obligation to update them in the future, as, or if circumstances change. Additional information concerning factors that could cause actual results to differ materially from those discussed during today’s conference call or in this morning’s press release, can be found in the Company’s most recently filed Annual Report on Form 10-K and subsequent reports on Forms 10-Q and 8-K. During this call, we also refer to certain non-GAAP financial measures, including adjusted earnings per share, adjusted operating income, and adjusted effective tax rate, which are reconciled to U.S. GAAP measures in Note 2 non-GAAP information included in our press release and in today’s presentation’s appendix. And with that, I’m pleased to turn the call over to Jim Zallie.
Jim Zallie: Thank you, Tiffany. I want to open by saying that I hope every one of you that is joining us today, your families and your loved ones are staying safe and healthy. For anyone who has been directly affected by illness as a result of the virus, our heartfelt thoughts are with you. This is an extraordinary moment in time for all of us. The Corona virus has affected every business in the world. Together, we are navigating a global health crisis that is bigger and more widespread than anything we have witnessed in our lifetime. I would like to take a moment to pay tribute and express our thanks to all the healthcare professionals, first care -- first responders and other essential services workers on the front lines for all they are doing. Also, I want to expressly thank our Ingredion employees for keeping our operations running smoothly and continuing to deliver ingredients and solutions to our customers. The challenges presented by the pandemic are bringing out the best in many people, and it has been motivating to witness the leadership being displayed both inside and outside of our Company. Today, our objective on this call is to provide a picture and a perspective of what we have been seeing since the pandemic hit. The current dynamics in our business and the actions we have been taking to not only manage through but to quickly adapt and make sure we are well positioned to emerge stronger. Beginning in January, we started to see disruptions from COVID-19 in China and we activated our global crisis management team on January 11th. By early March, we had transitioned this into a global pandemic response team, directing all activities through a project management office that immediately began coordinating, tracking and planning business impact activities across all regions and all functions. Concurrently, we established and communicated three clear priorities that have guided us thus far. Our top priority has been to maintain our employees’ health and safety. Ingredion has always been a company that has fully embraced its care first value. Our strong safety culture, which has allowed us to operate for many years at world-class levels when it comes to minimizing injuries in the workplace, has enabled us in this case to readily adopt protocols and take measures to protect employees’ health. We rapidly followed guidelines of public health authorities for physical distancing, increased personal hygiene and sanitization and provided the necessary personal protective equipment to employees. I’m proud of the coordinated efforts of everyone in our organization to adjust and adapt to safe, new ways of working to enable us to maintain a secure supply of ingredients to our customers. Our second priority has been to be a responsible corporate citizen, not only following local governmental guidelines to protect local health systems, but proudly supporting and giving back to the communities in which we operate. Ingredion teams around the world are supporting charitable organizations, and we are actively supporting the global food banking network with two corporate donations, which thus far will provide 1.2 million meals to people in need. Our third priority has been to maintain business continuity to serve our customers without interruption. We are focused on ensuring the safety and quality of our food and beverage ingredients as well as the availability of products into the supply chains of our customers. And I’m pleased to say that thus far, we’ve been able to do an excellent job in that regard. And we have received notes and comments of appreciation from a range of customers, big and small, acknowledging the support for our efforts on their behalf. We continue to monitor this rapidly evolving situation and are working closely with our customers, building on our strengths, sharing respective best practices, and focusing on recovery planning. Now, let me transition to our first quarter. We are pleased with our results for the quarter. Amid macroeconomic disruptions, we delivered solid operational and financial results. This was driven by healthy demand for our products, continued growth of our specialty portfolio, and further progress to streamline our organization. For the quarter, our global net sales were flat compared to prior year. Absent $40 million of negative foreign exchange impacts, net sales were up 3% versus the prior year. Net sales absent foreign exchange were up in three of four regions. Adjusted operating income for the quarter was up 1% year-over-year and up 4% absent foreign exchange translation impacts. Adjusted operating income was either up or flat in all four regions. Now, let’s discuss the highlights of each region’s performance during the first quarter. In North America, sales were up slightly for the quarter versus prior year with favorable price mix, offsetting volume decline. Operating income was $125 million, flat year-over-year. Improved price mix and favorable freight costs were partially offset by higher net corn costs due to the timing of corn hedge mark to market impacts. The South America region experienced 4% sales growth versus prior year, despite significant foreign exchange headwinds. Absent foreign exchange, sales were up 15%, driven by strong pricing actions and volume growth. Operating income was $26 million, up 44% versus prior year, due to favorable pricing and higher volumes. Our South America team has consistently been able to demonstrate an ability to drive necessary pricing actions successfully, despite a variety of market challenges. Moving to Asia Pacific. Sales were down 7% compared to prior year, due to volume decline, foreign currency and unfavorable price mix. With the early onset of COVID-19 in China and Korea, volumes in those countries were impacted by stay-at-home orders throughout the quarter. Operating income at $20 million was flat versus prior year, impacted by weaker volumes offset by favorable tapioca margins. Moving to EMEA. Our sales were flat for the quarter. Excluding foreign exchange, our sales were up 6%, driven by favorable price mix and volume growth. Operating income at $27 million was up 13%, driven by favorable price mix, volume growth, and lower cost of goods sold as a result of Cost Smart savings actions. Now, let me turn it over to Jim Gray who will review the financial results in more detail. Jim?
Jim Gray: Thank you. Jim. Net sales of $1,543 million were flat for the quarter versus prior year. Gross profit margin was up 30 basis points. Reported and adjusted operating incomes were $153 million and $167 million, respectively. Reported operating income was lower than adjusted operating income due to asset closures and restructuring costs related to Cost Smart. Our reported and adjusted earnings per share were $1.11 and $1.59, respectively. First quarter net sales of $1,543 million were flat versus prior year. We experienced unfavorable foreign currency impacts of $40 million. Although volume was flat, favorable price mix contributed $43 million to the net sales increase, offsetting currency weakness. In North America, net sales were up slightly versus prior year. Price mix was up 2%, offset by lower volumes. South America net sales were up 4% with price mix up 9% and volume of 6%, more than offsetting foreign currency weakness. In APAC, net sales were down 7% due to the early impact of COVID-19 in the quarter, which impacted volume. Price mix was lower due to pass-through of lower tapioca raw material costs. EMEA net sales were flat as favorable price mix and volume growth were offset by foreign exchange. For the quarter, reported operating income decreased $8 million while adjusted operating income increased by $1 million. The decrease in reported operating income was driven by asset closures and restructuring costs related to Cost Smart. Region operating income growth was offset by the corporate costs which increased by $10 million due to higher legal and IT project costs and continued investments to drive innovation and streamline global processes. Turning to our earnings bridge. On the left side of the page, you can see the reconciliation from reported to adjusted. On the right side, operationally, we saw an increase of $0.03 per share for the quarter, driven by favorable margin of $0.11 per share and offset by unfavorable foreign exchange, volume and other income of minus $0.05, minus $0.02, and minus a $0.01 per share, respectively. Moving to our non-operational items. We saw an increase of $0.03 per share for the quarter driven by favorable financing costs. Moving to cash flow. First quarter cash provided by operations was $65 million. Capital, expenditures were $98 million, up $18 million from the prior year due to the timing of payments for our plant-based protein growth projects. Before providing highlights to our 2020 outlook, I would like to characterize how stay-at-home restrictions and continued concerns for the virus’s effect on public health are impacting consumer behavior and habits in the marketplace. To begin, we have seen and continue to expect the pantry stocking will occur for many center-of-store packaged foods. As examples, demand for soups and frozen entrée has increased. In other areas in the grocery store, for example, fresh categories have seen mixed demand. Yogurt sales have not seen the same spike, perhaps because consumers have limited refrigeration space. In away-from-home channel, such as quick-serve restaurants or pubs and bars, demand has dropped significantly. Fewer French fries and fountain drinks are being consumed in foodservice. Finally, and only one instance that we know of, temporary government mandates have halted production in a food or beverage segment, which is brewing in Mexico. Due to the uncertainty created by the pandemic, our previous full year guidance of 2020 EPS, cash from operations and net sales outlook is no longer applicable. We have moderate visibility into quarter two but cannot fully predict how consumer behavior will evolve in response to infection rate in different locations for the remainder of the year. In quarter two, we anticipate that net sales will be down versus prior year in each reporting segment. In North America, net sales and operating income are anticipated to be down due to the decline in brewery sales within Mexico, related to COVID-19 government mandates. We anticipate Ingredion volume into foodservice to be down with volumes returning as we move into Q3. In South America, the pandemic is an earlier stage. The sudden halt of consumer traffic into restaurants and bars as well as mom and pop stores will reduce sales of beer, carbonated soft drinks and impulse foods such as confectionary. This sudden decline in demand will negatively impact our ingredient volume sales into these segments. EMEA net sales and operating income are expected to be down. Our Pakistan business has greater volume exposure to textiles industry, which is not operating due to COVID-19 restrictions. Asia Pacific operating income is expected to be down primarily due to currency weakness. As we look forward, we’re focused on maintaining our strong cash position in this uncertain environment. We are monitoring working capital accounts closely. Our balance sheet remains strong. We will continue to be disciplined and are taking steps to ensure that we have the capital to operate our business and support our strategy for the long term. We anticipate stable cash flow, in line with changes to operating income. Committed capital investments are anticipated to be between $285 million to $305 million, assuming the equipment orders, access to our sites and contractor safety can be maintained. Our reported effective annual tax rate is expected to be between 28.5% and 32%, and our adjusted effective annual tax rate continues to be in between 26% and 27%. With regard to our Cost Smart savings program, we are on track to deliver the cumulative 2020 run rate savings target of $90 million to $100 million by year-end. And with much of our teams working remotely, we are saving on discretionary expenses and finding opportunities to improve our productivity. Now, let me turn it back to Jim Zallie.
Jim Zallie: Thanks, Jim. Before closing, I would like to spend a few minutes talking about how our strategy and our Driving Growth Roadmap are serving us well during these turbulent times. Our strategy is built upon four pillars: Number one, a purpose and performance-driven culture with an emphasis on people; two, commercial excellence with a commitment to our customers; three, Cost Smart with a focus on cash; and four, driving specialties growth with an alignment to markets and trends. Our entire organization is being guided by these four pillars, and we are committed to executing the key elements of our Driving Growth Roadmap to create value for all stakeholders. As you know, the centerpiece of our roadmap is our five specialty growth platforms, which are well-positioned to drive net sales growth. As evidence of our Company’s agility and commitment to execute our strategy, despite the challenges, I’m pleased that even during the pandemic, we reached an agreement on the strategic acquisition of PureCircle.  PureCircle is an industry recognized leader and innovator with a proven track record for producing great tasting, naturally based stevia ingredients. The pending acquisition of PureCircle allows us to strengthen our business model, aligning with one of the most important food and beverage trends shaping the industry, sugar reduction. By leveraging Ingredion’s global footprint and customer lists, we will be able to bring great tasting, high-quality, non-GMO stevia ingredients to a more diverse and broader customer base. In addition to the commercial benefits, the acquisition presents opportunities for increased operating efficiency. We continue to progress the deal through applicable regulatory and shareholder approvals until closing, which is anticipated in the third quarter. We look forward to working with the Pure Circle team and updating you on the exciting prospects for this acquisition in future calls. We’re also proud that at a time when making a positive difference for the world is more important than ever. We advanced our vision for sustainability. On Earth Day, we launched our ninth annual sustainability report, putting forward 2030 sustainability goals aligned with the UN’s sustainable development goals and established the bold commitments to sustainably source 100% of our five leading raw material crops, corn, tapioca, peas, and stevia by 2025. With a clear strategy, a roadmap for growth, and a strong adaptable business model that has endured many tough as well as benign cycles, combined with a focused and committed team, I am confident in our future and our ability to create lasting value for our stakeholders. Thanks for your attention. And now, let’s open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Heather Jones is Heather Jones Research. Your line is now open.
Heather Jones: Good morning and thank you for taking the questions.
Jim Zallie: Hey, Heather.
Robert Moskow: Hi. So, one is just a quick clarification. I didn’t catch all the outlook language for different regions. Did you say that EBIT for South America, you expect it to be down in Q2?
Jim Zallie: Yes. So, let me take that first and just talk about how we view Q2. So, when we look at the forecast for quarter two, we’re taking into account, at what phase each region has been impacted and is being impacted by the rate of infection and how that is impacting consumer behavior and also government mandates for stay-at-home restrictions. And so, what I would say is that in three of the four regions, excluding South America, we’re taking a conservative view to quarter two that will be down in EBITDA in the low to mid -- EBIT, I’m sorry, EBIT, in the low to mid teens. Asia Pacific might actually do better than that based on how April was coming in where we’ve been pleasantly surprised. In South America, operating income is likely to be down much more significantly, based on the fact that that region is being hit hardest now. They are equally in the southern hemisphere and entering flu season right now and the number of cases there continues to increase. We have seen the foodservice sector in South America getting hit very hard starting in the third week, the last week in March throughout April, but we’re seeing a recovery in May, and the recovery is actually even stronger than we had anticipated just a few days ago. So, it’s somewhat hard to predict. But, we predict -- we anticipate that South America will be impacted worse than the other three regions in quarter two.
Heather Jones: Okay. But, it sounds like it’s very much in rapid flux. Is that a fair characterization?
Jim Zallie: It very much is, except for I would say Asia where the bounce back has been stronger than we had anticipated, especially in China. And April results for us in Asia have been above our expectations. And that’s why, I would say that we’re cautiously optimistic that we won’t be down in EBIT in the low to mid teens in Asia. We might actually outperform that. But, in North America and in EMEA, due to the impact in EMEA, for example of Pakistan and the shutdowns there and the impacts on the textile industry, that’s how we’re calling it right now.
Heather Jones: Okay. That’s encouraging to hear. Corporate expense, you mentioned that the stay-at-home guidelines et cetera are trimming expenses. So, I think previous guidance had been for that to be up 15% to 20% year-on-year. How are you guys seeing that now? Because it came in higher than I was expecting for Q1.
Jim Gray: Sure. So, part of corporate expense though is also having to do with some of the longer term compensation, which is -- held at corporate, we reset from prior year. And so, we just -- we encountered that. But what we’re also seeing is that we had some legal expenses as we were going through the PureCircle transaction, which are impacting Q1. So, that’s related to timing. But generally, we should see discretionary expenses like T&E much, much lower. And we should also see some of the kind of third-party expenses much lower as we’re -- as the entire company from an administrative and from a managerial side is working remotely.
Heather Jones: So, you would think consolidated corporate expense is going to be up less than the 15% to 20% you originally anticipated?
Jim Gray: Yes.
Heather Jones: Okay. Thank you. And my final question is, wondering -- and I get the complexity of your different end markets and all. But, I was wondering if you could give us sort of like broad strokes, a sense of how your sales roughly break down by foodservice versus retail, specifically North America and South America, given the size of those regions, if you can give us a sense of that?
Jim Zallie: Yes. It varies by region and it varies by country. And in North America, I would say, it’s in the 20% to 25% range is into foodservice. And in South America, depends on how you define foodservice, relative to the size of the brewing business that we have. But, brewing is how we categorize mainly in South America, specifically in Brazil and Colombia, the exposure to foodservice. But, I would say, it’s a little bit -- it’s a higher proportion in South America, which is just due to brewing.
Operator: Thank you. And our next question comes from Robert Moskow with Credit Suisse. Your line is now open.
Robert Moskow: The plant-based investments that you’re making, do you see any risks to your sales outlook, because of that end market’s exposure to foodservice? Like, I would imagine that restaurant sales and plant-based burgers will be negatively impacted. And then, one clarification. Your brewery business in Mexico in North America, about how big is that as a percentage of your North American sales? Thanks.
Jim Zallie: Yes. I’m going to let Jim Gray get to that question. Let me take the plant-based protein question first. And then, I’ll turn it over to Jim to talk about Mexico and brewing. The plant-based protein investment in South Sioux City continues to move ahead, scheduled for completion now in quarter three. As it relates to the outlook for plant-based foods, we’re still very bullish on it. The sales of the market leader in this particular case beyond meat, I believe has 50%, to your point, of their sales that go to foodservice, 50% at retail. Foodservice is obviously being impacted right now hard, but retail sales for their products in the first three months were up, I think 300%, so. And I believe they have their earnings today. So, we’ll see how they’re breaking that out. But, I don’t know if that’s going to more than compensate for the decline in foodservice. But, we anticipate the same sort of trends that quick service restaurants where a lot of those products are sold, will be picking up once the stay-at-home orders are relaxed. But also, what we’re seeing in relationship to foodservice is different sub-segments of foodservice getting impacted differentially. So, quick-service restaurants that are already set up for drive-thrus are going to weather this better than others and already have implemented contactless pickups when you pick-up your food from a drive-thru, it’s being presented to you on a tray, for example and not being touched. So, we anticipate foodservice and quick-service restaurants where a lot of those products are being sold to come back more quickly and retail to actually continue strong. But overall, this trend towards plant-based eatings, especially when you look at some of the concerns around the meat supply right now, I think it’s only going to bring heightened focus on plant-based diets. So, we’re very bullish on the long-term in relationship to this and comfortable with the fact that when our investment does commission and we qualify product for food grade sales, which takes a couple few months, that by that time we’ll be in a much more steady state where foodservice will have recovered to a large degree and food at retail will continue to benefit from the fact that people who eat plant-based diets have actually dependent upon them for their at-home consumption. And so, again, we’re very optimistic in relationship to the plant-based trend and how it will continue through this pandemic. Jim, on Mexico?
Jim Gray: Rob, most of the brewing manufacturing sites in Mexico have been ordered close by the government, so significantly limiting kind of production and resupply. So, as a result, the demand for our adjuncts will likely be lower until that production resumes kind of later in the second quarter, we anticipate that kind of late May, early June. Sale of our brewing adjuncts in Mexico, so, it’s approximately 3% of our Company net sales. I think, you asked about North America, so it’d be about 6% of North America. And just as one final thought, the brew remains available on store shelves and convenience and grocery channels. It’s just that the inventories are being depleted. So, there’ll be a run to restock those shelves, once the government allows domestic brewing and domestic resupply.
Operator: Our next question comes from Ken Zaslow with Bank of Montreal. Your line is now open.
Ken Zaslow: So, a couple of questions. What do you think the lasting impact on your business will be when you come out of this? Do think there’ll be anything structurally that you’ll need to change or that will either be positive or negative?
Jim Zallie: Well, I think, one of the first lasting impacts is going to be the way we work internally, first of all, as an organization. We have been maintaining very close contact with our employees. We have implemented two pulse surveys, since the pandemic started where we’re soliciting feedback and learning and understanding the ways of working, for example. And I’ll just give you one example. Obviously, most businesses, us included, 90% probably of our office workers, are working remotely on a global basis throughout this pandemic, as this is unfolded. And what we’ve learned is that a very large percentage of them can be very productive working remotely. We had already implemented flexible remote work policy where people could work remotely, with supervisor approval, one or two days a week, prior to this. So, we moved into this pretty seamlessly, when we went to full time remote. But, an example would be customer service. We have metrics in relationship to how we measure customer closeout responses. And those have actually increased, and the quality of those has actually increased. And the feedback we’ve gotten from our customer service people that have been equipped to work remotely is that -- the fact that they’re uninterrupted and they’re just totally focused, they can actually be that much more productive and efficient. So, that’s something that’s unique, that’s going to come out of this. I think, the way that we have -- we’re going to be organized in the workplace and more mindful of the way things were prior to in open seated office areas, for example, we’ll maybe go back to a little bit more of cubicles and some barriers to give people some privacy and some physical distancing that makes them feel comfortable. And certainly, we’ve implemented that in our factories. And also, I think you’re going to see the use of technology continuing to allow us to help protect the health and safety of our employees as things go forward. And then, just in relationship to business in general, I think that there’s going to be certain trends that are going to endure through this that will be consumer trends that we’ll need to pivot towards. And some of these are already manifesting themselves right now, and we’re going to be following those very, very closely. And they’ll create opportunities for us as well. Jim?
Jim Gray: And Ken, I’d add that not all of your customers are equally prepared for this type of disruption. And so, you find that you can share best practices with those customers that are extremely well prepared. But, the bottom end of the performance chart, you’re actually able to work more with and help along, right, and really support, so that things like inventory is available and can be shipped at a moment’s notice. And so, I think that the supply chain overall strengthens. And then, Jim has talked about, and we’ve talked about a while in terms of the face of foodservice is probably going to change, but orders that are going to be delivered to home or on the go where there’s certain aspects of our functional ingredients that can help to innovate with regard to heat retention and stability, those are going to be even kind of more exciting opportunities for us as we go forward.
Jim Zallie: And just lastly, I do think you’re going to see more of an emphasis on person’s personal health. And so, for example, everyone has heard the term comorbidity in relationship to COVID-19 and being at a higher risk with diabetes and high blood pressure. So, health and wellness will I think take an even larger place in priorities of consumers. So, for us, the acquisition of PureCircle and sugar reduction to cater to people that want to control their sugar intake, which is a very, very large percentage in North America, with 85% of North Americans reduced their sugar intake over the last few years. So, I think that bodes really well for us as we’re positioned now with PureCircle.
Ken Zaslow: Thank you. My second question is, with the reduction of foodservice in the U.S., I’m assuming carbonated soft drinks has kind of come down. How is that either probably stressing the supply chain on the corn processing, obviously led by the [indiscernible], but how is that hurting the supply chain in corn processing? Is there going to be a backup? Can you get through the materials? Are you swinging capacity? How does that all play out and how does that kind of lead to 2021 and beyond?
Jim Zallie: Yes. I think for us right now, it’s really, I think too early to tell. I think that, again, if the same kind of consumption patterns follow that we’re seeing in Asia, transition to Europe, transition to North America and then South America, and this is a six to eight-week decline and then a slow steady recovery. I think that the industry will be able to transition through this. But, we’re monitoring. It’s very early days right now. We’re feeling that we’re not as exposed to foodservice on the sweetener side, as much as maybe we had in prior years the way we’ve optimized our network and the customer base that we sell to. So, we feel that for us it’s just too early to predict exactly how this is going to play out.
Operator: Thank you. Our next question comes from Adam Samuelson with Goldman Sachs. Your line is now open.
Adam Samuelson: Thanks. Good morning, everyone. So, I was hoping, Jim to get a little bit more color on it. I know you don’t give guidance per se. But kind of the low to mid teens decline in operating profit in the second quarter. And I guess, I’m really thinking about North America and just any framework you could provide on deconstructing that between volume, kind of mix costs under absorption and net corn cost. I’m just trying to think about the interplay of those, understanding it’s a very volatile environment. And then, I got follow-up.
Jim Zallie: Yes. Jim, do you want to take that?
Jim Gray: Yes, sure. Adam, I’d break the problem down first in just in terms of Mexico and the fact that with the shipment of adjuncts into brewing, just stopping for a period of time. That’s a significant kind of Q2, one-off impact to the business. And then, what we’re seeing is a mixture within either of the U.S.-Canada business or the Mexico business between falloff in foodservice, whether that be fountain, carbonated soft drinks or in terms of some of the ingredients that we would offer in to kind of savory solutions in foodservice. But, we also see the counterbalance really in terms of center-of-store packaged foods take-up. And so, I kind of say that yes, there’s a bit of a softer, in terms of syrup, demand into beverages, CSDs, which is generally impacting us across both, U.S.-Canada as well as Mexico. And then also just the brewing is probably the bigger one…
Jim Zallie: So, Jim, is it fair to say this that if you break out North America, to your point, the brewing industry, most brewing manufacturers in Mexico had been ordered to close by the government, and are -- we’re taking a conservative view that they will not come back on stream until the end of May to early June. So, that’s in that guidance that we provided. So, that’s the view we have. If they come up sooner, that could change that outlook. In U.S.-Canada, the view is all the puts and takes, the positives on the net corn side -- on the recovery rates on corn as well as on the cost side with TD, et cetera, along with the reductions in volume that we’re seeing, foodservice, et cetera are less impactful, but it’s more Mexico being down and U.S.-Canada being less down. And we provided you the perspective, we have one when that recovery in Mexico brewery will take place. That’s fair to say, right? 
Jim Gray: Yes.
Adam Samuelson: That was helpful. And then, just South America, just want to -- so one, just as you think about the declines in the economy and the issues, the slower entry into some of the slowdowns from a volume perspective, I mean, maybe any similar thoughts in terms of how you’re thinking of the shape of the demand curve? And also, just -- I noticed, in Argentina, you’ve moved to hyperinflationary accounting and it was accounted for in U.S dollars this quarter, which is a change versus prior. Just making sure if there was any below-the-line adjustments there as an offset, now that the segment was actually in U.S. dollars?
Jim Zallie: Let me let Jim answer the question on Argentina and I’d just like to comment on the demand curve.
Jim Gray: Yes. So, Argentina, on the hyperinflationary, we moved last year. And so, that’s not been, what we’re doing is we’re just -- we’re taking it out and clarifying the adjusted, when we’re talking about adjusted op income, the impact for hyperinflation is down in financing costs.
Jim Zallie: Yes. And then, just one, demand in South America -- and let me talk specifically about brewing volumes in both, Brazil and in Colombia, but from the end of March through April due to the stay-at-home orders, approximately 70% -- there’s been a 70% reduction in brewing volumes in that period of time, that five, six-week period of time, and confectionary volumes as well being down very similar. That’s something that we also saw in Asia during the early parts of this crisis. A lot of those were impulse purchases made at small locations, certainly kiosks, think about airports, et cetera. So, they have been down. What I will say is that we are seeing brewing recovering strongly, and we’re cautiously optimistic. Again, it started to ramp back up here in May very strongly, which indicates that there’s a pent-up need to fill pipelines and the channels. So, we’re optimistic that things will continue throughout the second quarter with that recovery. I think confectionary is going to be a little bit of a slower recovery, just due to the nature of how those products are purchased.
Operator: Thank you. And our next question comes from Ben Bienvenu with Stephens. Your line is now open.
Ben Bienvenu: Hey, thanks. Good morning, everyone. I want to ask on the corn side. Obviously, we’ve seen corn prices come down a lot, basis has come down a lot. We’ve seen the co-products, corn oil in particular with all the ethanol production capacity coming offline. Corn oil is a lot tighter. I’m curious, you’re starting now getting into the period where you might start to think about hedging out some of the rest of the year as we’re into planting season. Can you talk about what ability or window you have to lock in for some of these lower net corn costs, and how you think that might contribute to potentially alleviating some of the operating profit pressure in the back half of the year at all?
Jim Gray: Sure, I’ll take that. So, Ben, one of the things that we highlighted in Q1’s performance for North America was that the segment operating income was relatively flat. We actually did experience some significant corn hedge mark to market in Q1 that’ll come back to us the balance of the year. So, as we’re seeing lower corn futures and we’ve laid in some of those futures relative to our production needs, so we’ll benefit for that for the balance of the year. Plus also, as we highlighted, you’re seeing basically generally higher co-product values. And to remind everybody that it really benefits us more in North America in the second half and more towards the fourth quarter, if we look at our LAP versus prior year. When we look forward and we get more news about plantings and acreage, and we look at the kind of lower gross corn costs that’s either delivered to us as we go through summer and/or as we’re looking at the futures for 2021, we have an ability to go forward and secure those futures such that we can kind of meet any type of revenue or pricing expectations for our customers. So, we’re kind of always looking at what we have in front of us, usually looking out probably two to three quarters in front of us, and then also then thinking about how as we roll that calendar forward, how we’re thinking about what the first half of ‘21 looks like.
Ben Bienvenu: Okay. On the operational continuity side, what, if any, have you seen with additional expenses that might linger and allowing you all to have business operational continuity in facilities? I recognize that these facilities don’t have a ton of people on them. But, what incremental expenses are there at all that could linger through the duration of this year and potentially into next year, and are they material?
Jim Zallie: Yes. I would say that the cost of incremental PP&E as well as the efforts for increased sanitization, those are costs that will likely continue. But for the most part, they’ve been relatively modest. Our procurement team has done a phenomenal job of making sure that all of our sites around the world have the required and ample PPE. So, that’s been coordinated again through this project management office that I talked about. And that will be an incremental expense, but again it’s modest in the overall scheme of things.
Jim Gray: Maybe, Ben, I’d say the one unknown is to what degree each community around our facilities as well as around our offices either have a return of flash outbreaks and we need to do testing. And so, right now, the frequency of testing or that is still kind of an unknown cost to us.
Jim Zallie: And we have that as a separate work stream that we’re looking at as part of our project management office to determine whether and if and how we would provide testing. And that’s something that we’re working on. It’s just too early to tell exactly how we’re going to approach that. But, it is a separate work stream that we’re looking at.
Operator: [Operator Instructions] Next question is a follow-up from Heather Jones with Heather Jones Research. Your line is now open.
Heather Jones: Thank you for follow-up. I just had a quick question. You mentioned pipeline replenishment once brewers start brewing again in Mexico. But, I was wondering if you could give us a sense of -- like you had mentioned QSR in North America has recovered fairly nicely. And could you give us a sense of like what’s the normal lag between their recovery pattern, and when you would start to see it in your order patterns?
Jim Zallie: Yes. So, let me go back and clarify what I did say in relationship to foodservice. And the question is, specifically talk about North America. So, what I would say is that in North America foodservice impacts to us started to be felt more in the second half of April. And they are continuing into May. The impact overall that we anticipate from foodservice will be varied, depending on the sub-segment of foodservice. And what I was trying to highlight is that I believe that quick-service restaurants where we do sell products, either directly to or indirectly to, to other manufacturers that produce for quick-service restaurants will be less impacted in comparison to casual dining, certainly fine dining. And so, we see that recovering, if it follows the same pattern as what happened in China, in probably four to six weeks is what we anticipate.
Operator: Thank you. We have a follow-up from Robert Moskow from Credit Suisse. Your line is now open.
Robert Moskow: Just one clarity thing. Your interest expense in the quarter being down versus a year ago, but you’re also including the hyperinflation impact in Argentina in that number. Can you quantify what that impact was, and so we could look at the true interest expense run rate?
Jim Gray: Yes. I want to say that the hyperinflation included in that was about a $2 million impact year-over-year, Rob.
Robert Moskow: Oka. So, that means your normal interest expense was about 16? 
Jim Gray: And then, we have -- I’d have also some gains, some -- also the various hedging gains losses in that as well, right, just from normal -- we’re having good [Technical Difficulty] shipping there, little bit lower than 16 on my net interest cost, yes, per quarter.
Operator: Thank you. And I’m showing no further questions in the queue at this time. I’d like to turn the call back to Jim Zallie for any closing remarks.
Jim Zallie: Okay. Thank you everybody for your time and attention today. We look forward to discussing our business further with you on May 13th when we will participate in the BMO Farm to Market conference. In addition, we will also hold our annual meeting of stockholders virtually on May 20th at 9:00 a.m. Central Time. Again, thank you for your time today. And I hope everyone stays safe and healthy as we navigate this pandemic together.
Operator: Ladies and gentlemen, thank you for your participation on today’s conference. This does conclude your program and you may now disconnect.